Operator: Good day, everyone, and welcome to the CBS Corporation Fourth Quarter and Full Year 2016 Earnings Release Teleconference. Today's call is being recorded. At this time, I would like to turn the call over to the Executive Vice President of Corporate Finance and Investor Relations, Mr. Adam Townsend. Please go ahead.
Adam Townsend - CBS Corp.: Thank you, Noah. Good afternoon, everyone, and welcome to our fourth quarter and full year 2016 earnings call. Joining us with today's remarks are Leslie Moonves, our Chairman and CEO; and Joe Ianniello, our Chief Operating Officer. Following Les and Joe's discussion of the company's performance, we will open the call up to questions. Please note that during today's conference call the fourth quarter and full year 2016 results and prior period comparisons will be discussed on an adjusted basis, unless otherwise specified. Also, I'd like to highlight that due to the previously announced Radio transaction, we are presenting the Radio segment as discontinued operations which excludes results from – revenue and operating income metrics. This presentation differs from the analyst consensus which still includes Radio in these metrics. However, adjusted EPS is comparable. Reconciliations for non-GAAP financial information related to this call can be found in our earnings release or on our website. Also, statements on this conference call relating to matters which are not historical facts are forward-looking statements which involve risks and uncertainties that could cause actual results to differ. Risks and uncertainties are disclosed in CBS Corporation's SEC filings. A webcast of this call and the earnings release related to today's presentation can be found on the Investors section of our website at cbscorporation.com. And with that, it's my pleasure to turn the call over to Les.
Leslie Moonves - CBS Corp.: Thank you, Adam, and good afternoon, everyone, and thank you for joining us. I'm extremely pleased to tell you that we turned in another great quarter and another terrific year for CBS Corporation. For the fourth quarter, we delivered record profit, with operating income up 10% to $733 million and EPS up 21% to $1.11, also a record. For the year, revenue was up 4% to $13.2 billion, an all-time high. Operating income was up 12% to $2.9 billion, also an all-time high, and EPS was up 24% to $4.11, breaking $4 for the first time in our company's history and marking our seventh straight year and 28th consecutive quarter of EPS growth. This kind of year demonstrates the performance you've come to expect from us and that we continue to deliver day-in and day-out year after year. Across every division, we're operating with distinction, building our businesses for the future and transforming our company to capitalize on faster growth. Let me tell you just a few of the actions we've taken recently along these lines. First, as you know, we just announced that we are separating our Radio business through a tax-free merger with Entercom. This will reduce our dependency on advertising to just 45% of our total revenue. Remember, just a few short years ago, that number was greater than 70%. Since then, we have told you of our goal to get our revenue ratio down to 50/50, and like many of our goals, we have surpassed it. And the 55% of our revenue that is non-advertising is growing faster all the time. Already here in 2017, we have done three separate but related deals to accelerate that part of our business. Each one represents a different kind of distribution and together they are representative of the many ways we are getting paid for our content. I am pleased to announce today that one of those deals is with Verizon, one is with Meredith Broadcasting and one is with Hulu. First, in the traditional retrans area, we have a brand new deal with Verizon. It covers our CBS and CW stations, Showtime and Cable Networks, and was done on terms that are consistent with our long-term target of achieving $2.5 billion of annual retrans and reverse comp revenue by 2020. The next form of distribution deal was in reverse comp where we signed an extension with Meredith Broadcasting, one of our largest affiliate groups. This represents our continuing goal of getting paid more from our affiliates with every deal that we do. What's also significant here is that the agreement includes rights for our affiliates to participate in CBS All Access, bringing local CBS over-the-top to more and more markets. In addition, as we construct deals with many skinny bundles now coming on the scene, we are the only company to incorporate the network affiliate business model in these deals. By doing this, affiliates can get paid for their local live linear feed of CBS and we can benefit from all the programming we provide as well. And the third area of distribution, we have also recently struck a deal with Hulu for their upcoming live streaming TV service. This is significant because it represents all of the new skinny bundle entrants who are paying a premium to gain access to our content. These three deals: Verizon, Meredith and Hulu, give us increased flexibility as we move ahead in this evolving distribution landscape. As people shift from one way of watching to another, we will be there receiving ever increasing value for our content. These three developments are on top of what was already a tremendous story for us in retrans and reverse comp. In 2016, we grew this revenue source by 35%, surpassing $1 billion for the first time a full year ahead of schedule. And remember, our skinny bundle deals like the one we just said with Hulu are in addition to that total. At the same time, our in-house OTT subscription services are also exceeding our expectations and 2017 is poised to be a phenomenal year. At Showtime, we have the legendary Twin Peaks returning in May, which will no doubt continue to drive OTT subscribers for us. More on that later. And at CBS All Access, in terms of sub growth, we just had our best quarter ever followed by our best month ever in January, followed by our best day ever for signups this past Sunday driven by CBS's broadcast of the Grammys. In December, we added NFL to the All Access for the first time and it helped boost subs dramatically. We look forward to benefiting from a full 17-week season this fall. And all of this success has been before we have even launched a single original scripted show in All Access. This Sunday, we will launch our first one with The Good Fight. This show has already been extraordinarily well received by the critics and fans who have seen it in previews. If you like The Good Wife you'll be happy and for those who like to see and hear a little bit more on the Internet, then you can on broadcast television, you'll be happy to. We also have our real big gun coming soon with Star Trek: Discovery. Production has begun, and all I can say is I'm very pleased with what I'm seeing and I'm confident the show will live long and prosper. So to say we are on pace for 4 million subs each at CBS All Access and Showtime OTT is probably a gross understatement. 2017 is also shaping up to be very good for us in content licensing. Three of our hit series NCIS: New Orleans, Scorpion and Madam Secretary will all become available to the domestic syndication market this year. And these shows, along with our others, will continue to benefit from new multiplatform opportunities and an international marketplace that is stronger than ever. This includes another deal we just announced this week to license our CBS and Showtime content to Japan's leading premium pay-TV provider, WOWOW. Yes, I said that, WOWOW. When you couple these fast growing revenue sources with underlying strength of our base business, you can see why we're very excited about the year ahead. In fact, even though we'll be comping against 2016's Super Bowl and political advertising, we still expect to grow our top and bottom lines in 2017. Of course, at the center of all the success is our content. From CBS to Showtime, to the CW and beyond, producing and distributing valuable programming assets is what we do best and is at the heart of our strategy. The number one platform for this is the CBS Television Network which continues to produce the most-watched programming in the universe of more than 200 television channels. We are once again on track to win the season which will be the 14th time in 15 years and the ninth straight year in a row, and we're winning by a lot. We're averaging more than 10 million viewers per night in primetime. That's not only millions ahead of our competition in broadcast, it's multiples ahead of any cable network. In fact, CBS averages about 1 million viewers more than the top four cable networks combined, and we average about 4 million viewers ahead of the top six cable news networks combined. We're able to do this year in and year out, thanks to the broad-based strength of our schedule where success breeds success. We have established hits including the number one drama, NCIS, and the number one comedy, Big Bang Theory, which by the way we are very, very close to renewing for two more years. And we have new hits, too, including the number one new drama, Bull, and the top four new comedies on television with Kevin Can Wait, Superior Donuts, The Great Indoors and Man With A Plan. Just to give you an example of our strength, this past week, yes, we had the Grammys, but we also had the top seven programs in network television and 16 of the top 20 shows. Most significant, in this 20 are six brand new shows from our schedule, and by the way, we own every single one of those shows. So we are refilling the pipeline with program that we can monetize across platforms for many, many years. This is important because consumers are increasingly finding new ways to watch our shows. In fact, when you count all viewers on all platforms, we have bigger audiences today than we did more than a decade ago. This is true with our big events, with our sports franchises and our news programming, and it's true with our regularly scheduled primetime shows as well. Fully measuring and monetizing the value of every single viewer represents terrific upside for us, whether it's Nielsen's new Total Audience measurement ratings or any new measurement system, one thing you can count on is that we will get there, and the revenue will be significant. We also have a great story in late night. We have The Late Show with Stephen Colbert that has been building momentum and for the second straight week has been the most watched show in late night. I believe they will win this week as well, and it will be a third straight week, and online streaming of Stephen's Late Show is up more than 70% this season across cbs.com, YouTube and other digital platforms. Meanwhile, James Corden is fresh off his latest hosting gig with the Grammys which pulled in more than 26 million viewers, its highest number in three years, and James continues to be a sensation online as well. His Carpool Karaoke segment with Adele was the number one trending video clip on YouTube for all of 2016, and our new Carpool Karaoke series will premiere this spring on Apple which will be their first original video programming. So late night is clearly a reenergized and exciting day part for us right now, delivering 10% growth in advertising in 2016 and continued growth here in 2017. Another area where advertising growth is following ratings growth is CBS News. During this quarter, CBS This Morning delivered its most viewers in nearly three decades, leading the way to 16% overall revenue growth across the division. CBS Sunday Morning and Face the Nation also recorded their most viewers in almost 30 years, and nearly 50 years in, 60 Minutes is the only primetime news program that routinely lands in Nielsen's top 10, including finishing in second place just a couple of weeks ago behind only our NCIS. We're also extremely excited that the incomparable Oprah Winfrey will join 60 Minutes this fall. This will be a terrific match and will ensure the continued dominance of 60 Minutes among all of the news programs on television. In addition to high ratings on air, we've seen dramatic growth at CBS News online as well. Total streams in 2016 more than tripled 2015. And during this quarter, we had a record 90 million streams because obviously of what was going on in the country, which is 50% above our previous record from the third quarter. At CBS Sports, this is always an exciting time of year for us as we get ready for March Madness. And it's especially true this year when the Final Four and Championship game all are on CBS. In terms of the NFL, I'm pleased to say that we saw ratings improvement towards the end of the season. Clearly, this has been a hot button issue across the industry. It does bear repeating that the NFL is the premier property in all of media, and we feel very good about our long-term partnership. It's also fair to say that this season's decline as well as having three fewer Thursday Night Football games affected our advertising revenue. The good news is with that behind us, overall underlying network advertising is now accelerating here in the first quarter. At Showtime, it was another very successful year. We grew subscribers in 2016 over 2015 and in the fourth quarter over the third. As I said before, we are seeing a very positive reaction to our OTT offering, which is now growing faster than we have seen with any prior distribution model and which features better economics as well. And looking ahead, we will continue to strengthen Showtime by strategically scheduling our original programming throughout the full calendar year. For example, we moved this season's debut of Shameless from January to October. And despite all that was going on in the world this fall, it had its most-watched season ever. And in January, we launched season six of Homeland, which had its highest rated premiere yet and led Showtime to its biggest monthly increase in OTT subs. Up ahead, we have a steady stream of original programs that will continue to drive sub growth. It starts this Sunday with season two of Billions, followed by three new shows between now and May, Guerrilla, which stars Idris Elba; I'm Dying Up Here from comedian Jim Carrey and, of course the return of Twin Peaks. And we have an ownership in all three of these new shows, just as we do with Billions. So like the CBS Television Network, Showtime continues to add to its stable of original series that we can license around the world well into the future. In Publishing, Simon & Schuster had a terrific year doing what it does best, growing its library of bestsellers. In 2016, we had 277 New York Times bestsellers, up from 249 in the prior year. And we had 33 number ones, which is also ahead of 2015. Leading the way, of course, was Born to Run by Bruce Springsteen, which was our top-selling title for all of 2016. And we have a strong slate ahead in 2017 including books from Stephen King, Mary Higgins Clark, Nelson DeMille and Dr. Oz. Turning to Local Media, our major market television stations are playing a bigger and bigger role in our success, thanks to retransmission fees and now revenue from skinny bundles as well. At the same time, the traditional business of our stations also had a tremendous year, including record-setting political spending. And 2017 has begun very strongly, led by outstanding local sales for the Grammys, which is now up 70% over the last six years. That's very good news because we recently signed the Grammys for 10 more years. And also locally, we benefited from the AFC Championship Game, which featured New England and Pittsburgh, two markets where we own stations and collect both national and local ad revenue. So as we begin 2017 and look out into 2018, I am extremely confident about where we are and where we're going. Our base businesses are performing just as they should, and our fast-growing revenue drivers are ahead of schedule. And it bears repeating that we have reduced our dependency on advertising to 45% of our company's revenue. This has been a goal for years and it means you can count on our revenue to be more stable and predictable. As we've said, we have a plan for 2020 that is both conservative and eye-popping, and when we commit to a plan, we deliver. Across our company, we're creating the content that people want and maximizing its value at every turn. No other company is better positioned to take advantage of the opportunities in media than we are. We have the content, we have the strategy, the leadership to capitalize on the constant change going on in our business. And as we take action and seize these opportunities, we will continue to deliver on our commitment to shareholders. Thank you, again, for joining us. And with that, I'll turn the call over to Joe.
Joseph R. Ianniello - CBS Corp.: Thanks, Les, and good afternoon, everyone. As you heard, CBS delivered extremely strong results for the quarter and the year. For the fourth quarter, we grew our operating income by 10% and our EPS by 21%. And for the year, we grew our operating income by 12% and our EPS by 24%. So we are consistently demonstrating outstanding operating leverage. What's even more impressive is that we are achieving these results while increasing our investment in content, and there's more to come. Last year, we laid out a plan to generate significant new, incremental high-margin revenue, and we feel even better about those opportunities today. Add to that the deal we just announced two weeks ago to separate out our Radio business, which I'll tell you more about soon, and we are now better positioned than ever to take advantage of our content-first strategy. Now, let me give you some more details about our fourth quarter results. Revenue for the fourth quarter came in at $3.52 billion compared with $3.59 billion in Q4 of 2015. And I want to pause here to remind you of what Adam said at the top that Radio results are excluded from revenue and operating income metrics and are presented as discontinued operations. Total company advertising revenue was down 3% due to three fewer Thursday Night Football games from 2015 as well as nine fewer hours of primetime programming that were preempted by our election coverage. The NFL ratings that you heard about also affected our underlying network advertising, which was down 2% for the fourth quarter. However, for the full year, underlying network advertising was up more than 3%, with strong demand throughout 2016. And in local advertising, we had a record-setting year with fourth quarter political spending up 25% over the last presidential election. Content licensing and distribution for the fourth quarter decreased to $893 million from 2015 when we had a significant international licensing sale of our entire Showtime portfolio as well as a domestic streaming sale of one of our original Showtime series. Looking ahead to 2017, we expect a stronger year for content licensing based on our pipeline of content availabilities. Affiliate and subscription fee revenue continued its growth trajectory during the quarter and was up 13%, with retrans and reverse comp up 25%. In addition, as you heard, our over-the-top subscription services, CBS All Access and Showtime OTT, are growing rapidly; a trend that we expect to continue. Also for the fourth quarter, operating income was up 10% to $733 million, driven by healthy increases in our high-margin revenue sources as well as record political advertising. And our operating income margin expanded to 230 basis points to 21%. Net earnings for the quarter were up 9% to $476 million and EPS was up 21% to $1.11 for the quarter, and as you heard, an all-time high. As previously noted, our fourth quarter results were adjusted for a few nonrecurring items. First, we opportunistically reduced the size of our pension plan obligation by offering certain employees a lump sum distribution. This was a great use of pension assets. It reduced our potential liability by over 10% and it de-risked future obligations. As a result, we took a one-time accounting charge in the quarter. We also took out costs across the company, leading to restructuring charges of $30 million which will have a one-year payback. And in connection with our Radio transaction, we wrote down the Radio book value to current fair market value based on accounting rules. Now, let's turn to our operating segments. Entertainment revenue for the fourth quarter came in at $2.39 billion compared with $2.46 billion in 2015. Advertising was affected by three fewer NFL games and nine fewer hours of primetime programming that we just mentioned. At the same time, retrans and reverse comp continued to grow strongly, and CBS All Access had another terrific quarter as well. Entertainment operating income for the fourth quarter came in at $371 million, up 7%, driven by our growth of our high margin revenue as well as lower sports programming costs. And our Entertainment operating income margin expanded 140 basis points to 15.5%. At our Cable Networks segment, revenue for the fourth quarter was $501 million compared with $562 million in 2015 when we had the licensing deals we just told you about. And for the year, Showtime grew subs by 3% and affiliate revenue by 5%, driven by our more profitable OTT business model. Similar to CBS retrans, as existing Showtime affiliates' contracts expire, we expect to reset those contracts to reflect the fair market value of our Showtime portfolio. Cable Networks operating income was $219 million for the fourth quarter compared with $228 million in 2015. Our Cable Networks operating income margin expanded three points to 44% due to lower costs from the timing of our series premieres. In Publishing, revenue for the fourth quarter came in at $209 million, down 10% from 2015, which included a bestseller from Stephen King. Audiobooks continued to grow strongly and were up 20% in the fourth quarter. Publishing operating income of $36 million for the fourth quarter was up 6%, driven by lower production costs, and our Publishing operating income margin expanded more than 200 basis points to 17%. Our Local Media segment had a terrific fourth quarter with revenue up 16% to $526 million. The increase was driven by record political spending and strong growth in retrans at our local TV stations. And our Local Media operating income was up 45% during the fourth quarter to $216 million, once again driven by growth in high margin revenue, and the operating income margin expanded eight points to 41%. Now, let me give you an update on our Radio transaction. As you heard, we announced a deal to merge CBS Radio with Entercom following a tax free split-off, and the transaction is expected to close during the second half of 2017. CBS shareholders who participate in this split-off will own 72% of the combined company which will have best-in-class assets and will clearly be the best capitalized radio company in the industry. The combined Radio business will benefit from increased scale, stronger cash flow and real operational synergies which should drive higher profitability. The new company will also have the ability to pay an attractive dividend. This is a great transaction for CBS. It will further diversify our revenue mix while also increasing our overall growth rates, and it will allow us to retire more shares of our stock through an exchange offer. Speaking of retiring shares, during the fourth quarter, we used some of the proceeds we received from the CBS Radio debt issuance to repurchase $1.5 billion of our stock, just as we told you we would. So for all of 2016, we repurchased $3 billion of our stock, retiring more than 54 million shares. Here in 2017, we can expect another solid year of capital returns for shareholders, including the impact of the Radio transaction we just highlighted, a continuation of our ongoing share buyback program and our ongoing dividend that we recently increased by 20% to $0.18 per share per quarter. Collectively, this will represent a meaningful percentage of our equity market cap. Returning excess value to shareholder remains important to us, but as always, our number one priority, which we are consistently doing year in and year out is to reinvest in our businesses, specifically in the creation and distribution of premium content. Turning to cash flow on our balance sheet, for 2016, free cash flow came in at $1.25 billion, up 22%, driven by growth in retrans and reverse comp as well as higher advertising revenue, and we ended 2016 with $598 million of cash on hand. Now, let me tell you what we see ahead in 2017 for our key revenue types. Network scatter pricing continues to be robust in the first quarter and is up more than 20% over up-front levels, and underlying Local Media revenue is pacing to be up low single digits. As you heard, in content licensing and distribution, we have three hit shows that can go into domestic syndication this year, NCIS: New Orleans, Scorpion, Madam Secretary. Together, these shows represent more than 200 episodes of programming. In addition, the competition for premium content continues to intensify internationally. So we see strong demand for both our CBS series as well as our entire Showtime portfolio. In affiliate and subscription fees, we are continuing on our path of steady and strong growth. As Les said, we surpassed $1 billion in retrans and reverse comp for the first time in 2016. And in 2017, we expect retrans and reverse comp to be up about 25% from last year as we continue to reset contracts as they expire. So we are well on our way towards achieving our goal of $2.5 billion from these sources by 2020. In addition, we expect our over-the-top services to continue to be a bigger contributor to our results. Just to give you some perspective, less than a year ago, we laid out our 2020 goal of reaching 8 million subscribers for CBS All Access and Showtime OTT combined. Last summer, we told you that together, our OTT services in total had already surpassed 2 million subscribers. Since then, we have continued to grow our subs nicely and we haven't even hit our programming stride yet. And as we sit here today with four years to go and less than 6 million subs to achieve our goal, it appears that our goal may have been too conservative. Another opportunity we feel great about is the skinny bundle. Les told you about our digital MVPD deal with Hulu and others. I can add that based on agreements we have already signed today, we think this growth area could be even bigger than what we initially outlined for you. So in summary, we are less than 12 months into our five-year growth plan and we've already executed on a number of proof points that validate our strategy. And after we complete our Radio transaction, we will be focused on a few key brands that will center around our content creation, which in turn will allow us to accelerate our growth rates and drive incremental profitability in the years ahead. So it was a great quarter and a great year, and we are confident that the opportunities that are ahead of us are significant and the best is yet to come. And with that, Noah, let's open the line for questions.
Operator: Thank you. And we'll take our first question today from Ben Swinburne with Morgan Stanley.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Thank you. Good afternoon. I wanted to ask Les a couple questions on the retrans MVPD front and then I just have a quick cash flow question for Joe. Les, I think this Hulu agreement is an important data point as we think about this year and sort of beyond. Can you talk a little bit about, first, the stacking rights and how you thought about those in the context of your agreement with Hulu? I know those are important rights in driving All Access. So did you have to sacrifice any of those to get the Hulu deal done or give up anything on rate to get that in exchange for those? And then second, how might this template be used with DIRECTV where I believe you are still not on that service? And any update on that relationship would be helpful. Thank you.
Leslie Moonves - CBS Corp.: Yes. Thanks, Ben. We signed a deal with Hulu. There are no stacking rights included in that. Stacking remains with All Access, which makes it much more attractive to the people using All Access. It was a very good deal for us economically. Obviously, for Hulu it was good because it completes the cycle of their ownership plus us are the major players. We are very happy with the economic deal and the terms of it. Yes, you're right, we have not yet struck a deal with DIRECT. We've got a deal with Verizon, we've got a deal with Hulu and other people. So we are still anticipating conversations and hopefully we come to a good resolution with them as well.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Great. And, Joe, just on free cash flow, can you just talk about the outlook for 2017 either directionally do you expect it to grow, or any comments around working capital that you could help us with? And generally as you spin off or split off Radio, what are your thoughts on leverage? How should we be thinking about your appetite for leverage? What's the range you guys are comfortable with?
Joseph R. Ianniello - CBS Corp.: Yeah, thanks, Ben. Look, obviously we don't have the Super Bowl from a cash flow perspective in 2017. And as we said in our remarks, we're investing in content. We're probably spending 18% more than just a couple of years ago. So for instance, obviously Star Trek, The Good Fight, that's the best use of capital for us. Those returns, all of that revenue that we will get, all that cash flow comes later, so that will be building. So I think again, we look at that only as timing, Ben. This is the best use of capital for us is to have another hit owned series, and those returns on that are significantly better than any other use of our cash. So that's a priority for us, so you should assume we'll continue to do that. Obviously, Radio throws off cash flow and will be smaller, but obviously our share count will be down as well. So we're going to look at leverage holistically. We're improving the predictability and stability of our cash flow, and because the growth rates are growing much faster, I think we replace the Radio cash flow in short order. So I think again, we're going to be very opportunistic as we've been, but always be prudent with our balance sheet.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Thank you both.
Leslie Moonves - CBS Corp.: Thank you.
Adam Townsend - CBS Corp.: Thanks, Ben. Let's go to the next question.
Operator: Our next question comes from Jessica Reif Cohen with Bank of America Merrill Lynch.
Jessica Jean Reif Cohen - Bank of America Merrill Lynch: Thank you. I have two completely separate questions. One is just on NFL and the ratings volatility you saw this year. You mentioned that plus the fewer games impacted advertising. Can you just talk about how you are going to approach the advertising sales for the 2017/2018 season? And then I have a different question.
Leslie Moonves - CBS Corp.: Look, obviously, there's been a lot of conversations about the NFL and the ratings, and clearly there was improvement after the election was over. That was one of the factors. The good news is the playoffs did extremely well for us, so we made up for that. And as we said, we had fewer games. So going into next year, we plan it – as I said before, it's still the best content on television. I'm still happy we have our Sunday football and our Thursday night packages, and Jo Ann and her team are planning on selling it aggressively as we always do. The fact that it was down this year is not really going to affect that.
Jessica Jean Reif Cohen - Bank of America Merrill Lynch: Okay. I mean it didn't seem like it really affected it that much. And then completely different topic, but there has been tons of speculation about distributors interested in owning some of the content companies and you are probably the most attractive of the independent content companies. Do you feel like you will create more value being aligned with a major wireless company or do you feel like you have a stronger hand remaining independent?
Leslie Moonves - CBS Corp.: Look, we've always said we are self-contained and we are very strong and we like our position. Thank you for calling us very attractive. We feel that way too. Obviously, the wireless companies as well as the Silicon Valley companies are all looking at the content companies as being very valuable. They're all trying to get into the content business. But we feel very secure in who we are and we're going to continue to play the game that way.
Jessica Jean Reif Cohen - Bank of America Merrill Lynch: Great. Thank you.
Leslie Moonves - CBS Corp.: Thank you.
Adam Townsend - CBS Corp.: Thanks, Jessica. Let's take the next question.
Operator: Our next question comes from Anthony DiClemente with Nomura Instinet.
Anthony DiClemente - Nomura Instinet: Good afternoon and thanks for taking my questions. I have one for Les and one or two for Joe. Les, international content licensing, this is one of the four pillars that you talked about at the Analyst Day. And I just want to ask about that because I feel like it got maybe a little less airplay in your prepared remarks. So that goal of $800 million incrementally by 2020, how is CBS pacing there? Is the demand internationally strong enough to support that goal? I mean, I acknowledge this year you have a tough comp in terms of last year's big sale internationally of Star Trek to Netflix. So I'd love to hear about that pillar. And then for Joe, just want to clarify, have you guys said what the number of Showtime OTT subs are? I think it came out that it's 1.5 million but just wanted to clarify? And then in terms of Showtime, I am actually curious whether the pace of that OTT sub growth, is that offsetting cord shaving from traditional MVPDs? And along those lines, if you kind of exclude the 1.5 million, if that's the right number from OTT, are core traditional Showtime subs also growing or what's the trajectory there? Thanks.
Leslie Moonves - CBS Corp.: Yeah, Anthony, on the international front, yeah, we are well on pace to beat that number. We have a lot more content going on. You referred to Star Trek. Once again, All Access is a brand new service that's going to have more and more programming. As you know, we've increased our summer programming, and our ownership continues to go up both at CBS and Showtime. In addition, the international marketplace is really on fire because of all the new SVOD players that are out there. Suddenly, we're finding in markets there's so much more competition, so the numbers continue to go up strongly. We didn't dwell on it a lot in our prepared remarks only because it continues to do extraordinarily well. You referred, you know, the Star Trek number was incredible from Netflix. There's a lot of competition out there. We're getting second and third cycles on shows, so we're very comfortable with that number and beyond.
Joseph R. Ianniello - CBS Corp.: And, Anthony, it's Joe. We haven't officially said the Showtime sub numbers. Obviously, we said over a million and we said we're growing to 4 million, so I think you can kind of do the math from here to there and make some assumptions. But again, we're telling you today we are more pleased than we were at our Investor Day, and we haven't, again, really started getting that murderers' row of content that Showtime is beginning to release. So we're feeling very good. And really, again, what's driving that is the consumer. It's the demand. That's the way they want to consume content. It on-the-go via broadband, wherever they want. They want access to it and they're willing to pay for that. And I think that's a demand we're satisfying and the opportunity could be bigger. As far as the overall sub growth, I would say it's additive. I think what we're seeing here is the base business has some puts and takes between maybe satellite and cable and telco and stuff, so a little jockeying around from subs, but overall, we don't see that deteriorating much. And again – so a lot of this growth is coming from households that are broadband-only, and again, we'll continue to grow. So I think we'll see and play it all out. But again, we couldn't be more optimistic about the opportunity.
Anthony DiClemente - Nomura Instinet: Okay. Thank you very much.
Adam Townsend - CBS Corp.: Great. Thanks, Anthony. Let's take the next question, please.
Operator: Our next question comes from Alexia Quadrani with JPMorgan.
Alexia S. Quadrani - JPMorgan Securities LLC: Hi. Thank you. My question is also on over-the-top, really on both CBS All Access and Showtime over-the-top. How should we think about the incremental margin? And what should we think about in terms of subscriber acquisition cost or payment to your affiliates for those incremental subs? And then just a follow-up – kind of a follow-up on Anthony's question as well. When you look at the growth, the tremendous growth you are seeing in CBS All Access, should we assume that it's also sort of coming mostly from broadband-only homes?
Joseph R. Ianniello - CBS Corp.: Yeah, Alexia, it's Joe. Look, the answer is, I think, you should assume it's accretive to our margin. Our overall margin for 2016 is 22%. I think, again, when we laid out our plan at our Investor Day, we thought we could be generating $800 million of incremental revenue. And again, I think you should think about that as margin accretive. Obviously, we're building the foundation today by producing those shows like Star Trek and Twin Peaks and some from a cash perspective, but we see that continuing to grow. And yes, I would say again the CBS All Access you should see that as, again, as incremental because, again, the traditional ecosystem really isn't changing with that. I think again, you know, just look at Netflix, Hulu and others, there are tens of millions of incremental subscribers out in the marketplace that are consuming content. So I think it's the form of distribution that's satisfying that appetite. And again, stay-tuned, because I think there's more to come.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you.
Adam Townsend - CBS Corp.: Thanks, Alexia. Let's take the next question.
Operator: Our next question comes from Doug Mitchelson with UBS.
Doug Mitchelson - UBS Securities LLC: Oh, thanks so much. I've got a few; I will just ask them one at a time. Following up on Alexia – well, first, Joe and Les, you both suggested the 8 million subscriber goal for CBS and Showtime OTT services might be too conservative, so what might be a better goal?
Leslie Moonves - CBS Corp.: Yeah, we're – above 8 million. It's hard to say. As Joe said earlier, we said we're pacing above where we thought we would be. We haven't even introduced the original content on All Access, so we're confident it's going to be above the 8 million. We're not willing to give you a number today.
Doug Mitchelson - UBS Securities LLC: Yeah. The follow-up to Alexia's question, Joe, is just to pin you down, now that you have some scale, is the economics of OTT as good as you hoped? I get it's margin accretive, I get it's lots of incremental revenue. But relative to what you thought going in, churn management, billing, customer service, all that, is the economics as good as you hoped?
Joseph R. Ianniello - CBS Corp.: Yeah, absolutely. I think it's exactly spot-on. I think we're managing it that way. I think we have an ad-free product out in the marketplace as well. I think we price that right. So I think again, Doug, we're serving an appetite and I think that's critical. I think the consumer, the average demographic, the average age of that is much, much younger, it's sticky and again, the theory is we always have something coming. So with the library CBS has, with the original programming strategy, the big tent-pole live events, I mean again we look at that opportunity and we say, how big can big be, to your point. And look, 8 million subs is $800 million and each 1 million of subs is an incremental $100 million, which is meaningful to us. So we are laser focused on that opportunity, but this is playing out better than we had hoped.
Doug Mitchelson - UBS Securities LLC: And then last question, Les. A little bit of angst out there in the ad market right now and cancellation options, I think, for 2Q are up just slightly, not much. You are saying scatter pricing is good. How would you describe the health of the ad market? Is the volume there? It's sort of too early to ping you on the upfront, but just...
Leslie Moonves - CBS Corp.: You know what? Our cancellations, I haven't gotten the call from my salespeople, so this is the first I'm hearing that they're slightly up. Maybe you're talking to the wrong network. No. So anyway, yes, scatter is strong. Once again, it's too early to predict pricing on the upfront, but we are anticipating another strong upfront. It's still the best game in town and we're – I'm optimistic.
Doug Mitchelson - UBS Securities LLC: Okay, great. Thank you very much.
Leslie Moonves - CBS Corp.: Thanks, Doug.
Adam Townsend - CBS Corp.: Thanks, Doug. Let's take the next question, please.
Operator: Our next question comes from Michael Morris with Guggenheim Securities.
Michael Morris - Guggenheim Securities LLC: Hi. Thank you. Good afternoon, guys. Two topics, one on retransmission and one on All Access. I'm hoping you can help us a little bit with the trajectory of how to be thinking about retransmission renewals over the next couple years. Can you help us with what percentage of your subscriber base you expect to renew over the next one to two years? And as you enter into these deals, are we still seeing significant year one step-ups as you keep moving towards your targets or are we in a place now where you are seeing sort of smoother unit pricing growth over the course of the contracts? And then second, on All Access, I am curious, clearly, it's very rich with your owned content. Would you envision a scenario where you may license some content to continue to bolster the offering there? Thanks.
Leslie Moonves - CBS Corp.: I'll take the second question. At the moment, the economics work much better as it does for the CBS network that we own it. Obviously, we will look at everything and if there's an attractive coproduction opportunity, we will look at that as well. And I think what we've proven at CBS is we're very flexible to make deals. We're deal makers, we like content and if there is an ability to do that and put it on All Access at the moment, it's solely owned content but that could change in the future.
Joseph R. Ianniello - CBS Corp.: And, Mike, on your retrans question, here's what I – about 33% of our footprint expires over the next 24 months, so between 2017, 2018. So we get a chance to reset that. Look, they're still catching up because the marketplace has – obviously has moved. So I would say, again, that first year is generally a much higher step-up than the out years. But as importantly, I want to make sure you also focus on the reverse comp portion of that because, again, that's two-thirds of the country. And there we have about 26% of our footprint coming up in the next two years, so you can expect to see similar or even bigger increases there. So again, we gave you the $1 billion, we gave you $2.5 billion, we told you we're going to be up 25%. So I think we've been pretty specific on what we're – where this revenue is headed.
Michael Morris - Guggenheim Securities LLC: Great. Thank you, guys.
Adam Townsend - CBS Corp.: Thanks, Mike. Let's take the next question.
Operator: Our next question comes from John Janedis with Jefferies.
John Janedis - Jefferies LLC: Thank you. Les, you have been rightly bullish on the global licensing opportunity. And I guess with the domestic landscape evolving, can you talk about to what extent the domestic buyer will be different in the future? You have gone from typically one to multiple buyers and with some potential cable buyers under pressure, I was wondering if there's anything to call out there.
Leslie Moonves - CBS Corp.: It's very interesting. You point out something very interesting in that our off-network product initially went to cable, then it went to the SVOD players, then it went to both. And I think on each show that we do, we sort of do a different analysis. And there are more players in the marketplace that are now looking for content, which is great, on the streaming services as well. So it's really a mixed bag. I think some of the cable operators are coming back to buying off-network product. They realize they can't do their own all-original content. So as long as we keep doing what we do, which is produce good original content that we own, we're going to be – not only we're not going to exploit the international marketplace, but domestically the numbers are – continue to get higher and higher every year.
John Janedis - Jefferies LLC: Okay. And maybe separately to Doug's point, I guess, I think we all know better than to ask you about the upfront forecast. But you spoke briefly about measurement. And with the upfront three months away, to what extent do you think that we're going to see multi-platform deals using Nielsen's Total Audience measurement?
Leslie Moonves - CBS Corp.: It's a little early to tell, but clearly there's going to be a lot more of it, just like we said there's going to be more C3s than there were and then C7s than there were. Now, Nielsen's doing a better job and getting better data as well as other services. So I think there's no question when we talk to advertisers, everybody's looking at a more complete picture. And that only means more viewers and more revenue for us. So I think it's going to be more and more important with each year, and I think some of those services will be important this year.
John Janedis - Jefferies LLC: All right. Thank you.
Adam Townsend - CBS Corp.: Thanks, John. Let's take the next question.
Operator: Our next question comes from David Miller with Loop Capital Markets.
David W. Miller - Loop Capital Markets LLC: Yeah. Hey, guys. Les, as you know, President Trump has appointed Ajit Pai as the new FCC Chief who is obviously considered pro-consolidation, pro-free market, et cetera. What odds would you put on the station cap rule being altered from 39% up to, say, 49%? And if you're a betting man, what would you say the timing of that might be? And then I have a follow-up. Thanks.
Leslie Moonves - CBS Corp.: Look, we know Ajit Pai very well. I think he will be very beneficial to our business. As you said, he's de-regulation, and we would be very interested in the cap moving up. Frankly, I have no details and no idea if that will happen or when it will happen. I can tell you in the right circumstance if the cap is lifted, we would strategically want to buy some more stations because we think it's important. And as you just heard, through re-trans and through political advertising, the local markets are extremely good for us. So we're looking forward to not having as much regulation and having the ability to do more.
David W. Miller - Loop Capital Markets LLC: Okay, great. And then also, Les, I am sure you are aware the NCAA just released the top four seeds in each bracket for the upcoming NCAA tournament. Has this stoked additional interest amongst your media buyers beyond what would be considered normal for this time of year? And any color on pacings for the tournament would be helpful if you are willing to give it. Thanks a lot.
Leslie Moonves - CBS Corp.: Yeah, I mean, look, there's no question. I think what it's done is brought March Madness into the end of January, which is great for us and our sales guys. And there's renewed interest in sports and in the tournament and people are already complaining about the seeds, which we love because that's part of what makes the tournament so exciting. So the answer to your question is yes, it has increased the activity and the pacing is very strong. As we mentioned before, we're really happy all three games of the Final Four are on CBS this year, which will help us a great deal. So bring it on. We're excited. It's an exciting time of the year.
David W. Miller - Loop Capital Markets LLC: Okay. Wonderful. Thank you.
Adam Townsend - CBS Corp.: Thank you, David. Let's take the next question, please.
Operator: Our next question comes from Bryan Kraft with Deutsche Bank.
Bryan Kraft - Deutsche Bank Securities, Inc.: Hi. Good afternoon. Wanted to ask you two questions. Joe, wondering if you would comment on the auction proceeds that you expect to receive in the spectrum auction? And then separately, just curious as to how much of the viewing on All Access is live versus on-demand? And I know that the NFL has been a recent addition to the lineup, but how much of that live viewing is sports and live events? Thanks.
Joseph R. Ianniello - CBS Corp.: Bryan, it's Joe. Let me answer the second one first. The live viewership, it tends to be about 10% to 15% on All Access. It's the on-demand feature, I think, again, the content on-the-go is really what's – we're seeing significant usage, more than double that of what's freely available and stuff. So I think that's going to do it. But again, it's a complete offering. Our vision is always we have something for everyone, and I think that's really been the strategy. So that's why the network affiliate model is important. And that's why we bring our affiliates along in this and they participate in that. But I do think it's the strength and breadth of CBS programming that is the main driver of that. Look, the auction proceeds, if you – look, Bryan, we looked at it. At the top, we saw those initial values and we said, oh, that could be interesting in certain circumstances. But we did not sell any full power signals in the auction. As the auction continued to drop rapidly in value, it just didn't make sense for us to participate because we make so much more money by broadcasting in the highest standards possible. So that's our bread-and-butter, so we weren't going to participate in a process where values were going down significantly. So we did not sell any full powered stations.
Bryan Kraft - Deutsche Bank Securities, Inc.: Okay, great. Thanks, Joe.
Adam Townsend - CBS Corp.: Thanks, Bryan. Next question, please.
Operator: Our next question comes from Tim Nollen with Macquarie.
Tim Nollen - Macquarie Capital (USA), Inc.: Thanks very much. A couple of things, please. I wanted to come back on the subject of advertising, recognizing it's a difficult year with a comp ahead in 2017. But I want to come back to the question of Nielsen's Total Audience measurement. And you had said, I think, on the last call that you see dynamic ad insertion as a potential nine figure opportunity in the future with help from better measurement. I just wonder if you could give us some sort of an idea going into the upfront how you will go about doing these deals. And if there is any sense you can give us on what incremental percentage of revenue growth you can get from this versus C3 or C7? And then separately but related, coming back to the NFL. I'm sure you saw recently Roger Goodell had some comments on ways to perhaps address the ratings issue for the NFL next year, possibly talking about shortening game times if they could or even reducing ad loads. I just wondered what your take is on that, if you think any potential downside there might be offset by very scarcity of the games and the pricing on that or making these games available on All Access? Just wondering how we should think about the NFL for you next year. Thanks.
Leslie Moonves - CBS Corp.: All right, Tim. I'll answer the second question first. Obviously, we've met with Roger, and we've met with the NFL a number of times. We're all looking at how the product can be more efficient, possibly speeding up the games, possibly things in terms of pods, possibly things in terms of the referees looking at the replays, how long that takes, et cetera. So we're looking at some reformat ideas. Obviously, we're not planning on cutting advertising. If there are ways of doing advertising in different ways that are equally beneficial, we're looking at that, and we're trying to make the game as good an experience as we could make it.
Joseph R. Ianniello - CBS Corp.: And your first part of the question, Tim, on the advertising, look, I think as people continue to shift and watch content on their terms, our thesis has always been we expect to get paid for it if people consume it. And so if it's not in the measurement and advertisers aren't paying for it, we're going to use that available inventory because the technology now exists to give other advertisers the opportunity. And we think that's a real opportunity that drives it. If you watch an episode of NCIS, on Tuesday it airs, but then you watch it on Sunday and we don't make any money from it, that doesn't really make any sense to us. So we think it's the number one show on television and would garner a lot of appetite from advertisers. So it'll take us time to execute that and build that marketplace, but it is absolutely a nine-digit opportunity.
Tim Nollen - Macquarie Capital (USA), Inc.: If I can just follow up briefly, Joe. So even if the entire industry doesn't have the syndicated data from Nielsen, you can still go ahead and use that in certain ways and try to monetize it?
Joseph R. Ianniello - CBS Corp.: Absolutely, absolutely.
Tim Nollen - Macquarie Capital (USA), Inc.: Yeah, thanks.
Joseph R. Ianniello - CBS Corp.: Yup.
Adam Townsend - CBS Corp.: Thank you, Tim. Next question, please.
Operator: Our next question comes from Laura Martin with Needham.
Laura Martin - Needham & Co. LLC: Hey, there. A couple for Les, one for Joe on the model. So Carpool Karaoke is your new series on Apple, and I think you are still doing Under The Dome for Amazon. Les, could you update us on these new orders from CBS Studio from digital-first players? I am sort of forgetting where we are with all those and I'm trying to size the revenue opportunity from these new buyers. And then second, I am just looking at the margin expansion here and it was really powerful in both the quarter and the full-year, this operating leverage. But my puzzlement comes because we reading a lot of headlines about 400 new series in production, all-time high, upward cost pressure your competitors are talking about for content. Is there some reason that CBS is immune to these upward content cost pressures at Showtime and CBS maybe because you are number one or something? I don't understand why you are having such awesome margins when your competitors are all reporting faster content cost growth versus revenue. And then Joe, one for you on the model. You said in your comments that there was record local ad revenue of 25% year-over-year. So if we're going to hold presidential – if we are going to just assume that also for the presidency, that gets me to like $180 million to $200 million of political for you guys. My question is, since you are projecting higher local in 2017, was all of that political cannibalistic and therefore 2017 you can still grow off that? Because I would have thought some of it would have been additive but then that would have been hard for you to project higher local in 2017 than 2016? Thanks, guys.
Leslie Moonves - CBS Corp.: Okay. Let me jump in first. Carpool Karaoke, digital buyers, et cetera, CBS Productions has made it a real goal. Initially, they were formed to supply programming to CBS, then they were joined by supplying programs to the CW. Now, they're supplying programs to All Access as well as we are either in development or in production for 13 different outlets, other than that. So virtually every player we have either development or production with Amazon, with Hulu, et cetera, et cetera, Netflix obviously. So there's a lot of activity. What we are doing here, we brought in, we have a new reality group, unscripted group that's going to be specifically targeted towards the digital players because in terms of your next question, that's part of the question. In some of these services, they spend more than we do on programming. There's no question that the Netflixes of the world spend more than we do. They do. That's their – it's a different model. We know production. We produce a lot of it ourselves. We do manage cost control because we know production and frankly, when we do some co-productions with other studios, we see that they're probably not as stringent as we are on our costs. And I think maybe it's because I've been doing this a long time, I know where the money should be spent and where it's wasted – where excess money is wasted. So I think we are prudent about how we produce our programs and it seems to be working.
Joseph R. Ianniello - CBS Corp.: And, Laura, just to clarify what I said. I said underlying TV station. So just to be clear, that's on a comparable basis. So obviously, your $180 million to $200 million is directionally accurate and stuff like that. So that will obviously be a headwind from a reported standpoint.
Laura Martin - Needham & Co. LLC: Is it all additives, Joe?
Joseph R. Ianniello - CBS Corp.: Is what all additives?
Laura Martin - Needham & Co. LLC: Political.
Joseph R. Ianniello - CBS Corp.: Political? No. Look, there's not additional spots, right? And so it's just replacement. It's more buyers for the same set of inventory, so it drives price up. But, no, you're absolutely right in that, we don't look at that and we don't give our TV station sales guys a pass to say, it's all additive. And so maybe there's some halo to it, but by and large, we always tell them, you're selling the same number of spots.
Laura Martin - Needham & Co. LLC: Perfect. Thanks, guys. Very helpful.
Adam Townsend - CBS Corp.: Thanks, Laura. Thanks a lot. All right. Why don't we close out with one last question, please?
Operator: Our final question comes from Marci Ryvicker with Wells Fargo.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. Les, I want to go back to the station M&A. Assuming that the regulatory environment is relaxed and the UHF discount is reinstated, how aggressive would you be willing to go outside of the top 25 markets? And then secondly, you talked about acceleration in advertising. Were you referring to the networks, to the local stations, to both? And if you could just give color on where that is coming from and just generally if you feel like advertisers have a little bit more confidence post the elections?
Leslie Moonves - CBS Corp.: All right, Marci, I'll do the first one, I'll let Joe finish it up with the second one. Look, how aggressive are we going to be? You know us. We're going to be smart in what we do. Would we go outside of the top 25? Probably not. I would doubt that. We're a big market company and the big markets generally work out, especially when you have local football teams in our marketplace that becomes important. We will be aggressive but we're not going to be stupid about it. And it's – we're happy with what we have, but we could expand more and we have a very well-functioning local stations division that obviously could take more in.
Joseph R. Ianniello - CBS Corp.: And Marci, on your advertising – I think in Les's comment, he was referring to the network. And again, it's really driven by the strong demand on pricing and stuff. And again, above healthy upfront levels. So he said that and I gave you the pace for the local saying, underlying for Q1 was pacing up low single digits. So I think, again, that just describes again the way we see the market today. We've got our eyes on it but again, the demand seems strong across multiple categories.
Marci L. Ryvicker - Wells Fargo Securities LLC: Got it. Thank you.
Adam Townsend - CBS Corp.: Great. Thank you, Marci. And this concludes today's call. Thank you, everyone, for joining us. Have a great evening.
Operator: And this does conclude today's conference. Thank you for your participation and you may now disconnect.